Ulrika Hallengren: Welcome to the presentation of Wihlborgs' Full Year Report 2025. Another year comes to an end, and we can conclude that despite limited support from the economic climate and with the rental market that has remained a bit slow and cautious, we have once again delivered growth across almost all key metrics. Vacancy has also increased slightly, but we have higher rental values, higher rental income, higher operating surplus, higher income from property management and property values have all strengthened once again. This marks 20 consecutive years of growth, a track record we are fully committed to continuing. And I claim that our region has never been more positively perceived than it is today, which makes me generally excited about the years to come. Let's go to our report. We start with a summary of the last quarter, October to December. Rental income up 5%, a new record at SEK 1.111 billion, income from property management, plus 23% and excluding revaluation from joint venture, plus 8%. Net letting positive at SEK 12 million, net debt to EBITDA at 10.4x. We have good access to financing. And as I said many times before, but this still stands. Demand remains for good quality and good locations, and our tenants are willing to pay for that. And we are proud to be able to continue with a project investment that gives continued good potential for growth. The Board proposes a dividend of SEK 3.30 per share. Looking at the full year '25, rental income up to SEK 4.354 billion, plus 4%. The operating surplus increased also with 4% to SEK 3.107 billion and income from property management increased by 14% to SEK 2.038 billion or 11%, excluding joint venture revaluations. The result for the period amounts to SEK 2.220 billion, corresponding to SEK 7.22 per share, and EPRA NRV has increased by 10% to SEK 99.36 per share adjusted for paid dividend. A comparison of rental income full year '25 and '24. Indexation gives plus SEK 41 million; acquisition, plus SEK 132 million; currency effect, minus SEK 33 million; additional charges, plus SEK 37 million; and completed projects, new leases and renegotiation, plus SEK 3 million. And here is included higher vacancy as well as higher property tax of approximately SEK 20 million, plus SEK 53 million from new projects and plus SEK 20 million from new leases in the existing portfolio. And the net letting is positive again, plus SEK 12 million in the quarter, plus SEK 77 million for the full year and, in total, new leases at a yearly value of SEK 399 million signed for the year. For the last -- for being a last quarter, the volume of new leases of SEK 92 million is good and a large amount to have lease commencement during first half of '26 or in the fall for Skrovet 6 in Malmo. 43 quarters in a row with positive net letting, but let's not take anything for granted. The quarter is a short period, but looking over time, I'm very proud of how we have found good opportunities over the past years. Here are some of the tenants that we have signed during Q4, a combination of headquarters, defense development, industrial and governmental tenants as examples, new tenants, expanding tenants, but also Ericsson with no change in areas and thereby not included in the net letting, but still very important for us. Six additional years, a bit higher rent and a small investment for improvements in the property, approximately SEK 1,650 per square meter. Here, we have the net letting in a historical perspective, lettings in green terminations in light blue and dark blue stacks are the net letting. We don't win every lease opportunity, which is annoying, but we think the hit rate is quite okay. And the list of our 10 largest tenants in alphabetic order, strong customers, and they contribute with 20% of our rental income. 7 out of 10 are governmental tenants and the public sector contributes with 22% of total rental income. Rental value as of 1st of January '26 is SEK 4.990 billion per year, plus 7.4%; and rental income, SEK 4.405 billion, plus 6%. Strong figures, and this is an effect from acquisitions, indexations, investments and tenants willing to pay for the right quality. Looking at like-for-like figures, all the properties we owned a year ago, excluding projects compared with updated figures, we can see that rental value is up 2% and rental income is up 0.8%. It's good with the growth also in the like-for-like stock, but to get the growth, we aim for acquisitions and investments will continue to be important, especially in times of higher vacancy. The growth in rental value is supported by indexation of 0.9% in Sweden and approximately 2% in Denmark taking effect this year. Changes in market value of our properties, we started the year with SEK 59.168 billion accordance with the external valuation of 100% of our portfolio. We have made acquisitions, which add on SEK 2.604 billion; investment, SEK 2.738 billion; divestment, minus SEK 156 million; changes in valuation, plus SEK 859 million; and together with currency translations of minus SEK 799 million, that summarized to a value of SEK 64.414 billion. Our external appraisers, one in Sweden and one in Denmark, they value 100% of the portfolio as of year-end, no cherry picking. A bit higher valuation yields for Swedish offices market and a touch lower for industrial. The growth come mainly from investments and new leases. Here's the long-term trend for our portfolio growth from SEK 7 billion to SEK 64 billion in 20 years and growth every year without taking in any new equity from our shareholders. And these figures shows the running yield that shows how we actually perform in relation to the valuation. So not valuation yield. For the whole portfolio, the occupancy rate is 90%, excluding projects and land and with an operating surplus of SEK 3.304 billion, that gives a running yield of 5.5%. In the project volume, now Blackhornet is included with a quite high volume of new areas, but not completed yet. Fully let, the portfolio would give a running yield of 6.3%. Good earnings capacity in relation to the value of the portfolio and good cash flow generation is the foundation also ahead. Compared to a year ago, the occupancy rate is down 0.3 percentage points, but we see areas which have improved, offices in Helsingborg, for example. And everything points in the direction that rental income will improve further during the year. In the office portfolio, the market value is SEK 50.401 billion with an occupancy rate of 91%. 91% in Malmo, improved to 90% in Helsingborg, 90% in Lund and 91% in Copenhagen. The operating surplus from offices summarized to SEK 2.731 billion and running yield of 5.4%, 6.2% fully let. And the demand for logistics and production continues to be good in Malmo, especially with an occupancy of 94% for us, lower occupancy in Helsingborg at 83%, 91% in Lund with a small portfolio and 96% in Copenhagen. 86% (sic) [ 88% ] occupancy rate as a whole with a running yield of 6.2%, a total value of SEK 9.181 billion. And as mentioned before, we continue to see harder competition in the third-party Logistics segment with quick changes in need, and that also means that occupancy can improve quickly when market has new needs. As mentioned before, I assume that vacancy in the southern parts of Helsingborg will be a bit sticky since the area will go through a makeover and that will take a number of years. But once again, let's remember that even if the vacancy is high, the running yield of 6.3% is decent, especially in location where the market as such continues to be interesting. The development of our total portfolio's running yield, 5.5% brings stability, not least since the portfolio overall has a high quality and good location. And as noted before, a good increase of the running yield since 2021. And some follow-up on the sustainability metrics. This is some of our overall goals for 2025. We managed to reach over 90% certification in the office portfolio in Sweden, a bit ahead, and we have continued with the rest of the portfolio. Evaluation of suppliers have not reached the 100% goal since there are always a few on the way in, but we will continue to improve. Carbon dioxide emissions from Scope 1 and 2 now at 0.93 kilograms per square meters and energy use 76 kilowatt hours per square meters below the target of 85. New goals have been set for 2026 and forward, more on that topic in the next report. But also some sustainability highlights from Q4 '25. Our project at Vatet 1 in Lund for our tenant, Arm, is the first project to be certified according to an updated manual Miljobyggnad 4.0 Renovation and reached the highest level goals. And let's remember that every upgrade of the manual makes it more difficult to be certified. The demands increase for every update. In Malmo, we have installed charging infrastructure for heavy-duty traffic for one of our tenants, and we continue with our energy efficiency improvements. And yes, you can find The Janne Solution among them. So minus 50% at energy use at Syret3, minus 27% at Cylindern in Helsingborg; and minus 10% at Kranen 8 in Malmo, as examples. A catalog of our value and properties in our 4 cities in '25. 39% of the value in Malmo, 23% in Helsingborg, 17% in Lund and 21% in Copenhagen. The region and especially these 4 cities continue to be of high interest for future growth, both regarding population growth, which will be a challenge in many places and regarding the number of workplaces, which is important for us, supported by Danish infrastructure and a young and well-educated population in Sweden. And time for financials. Over to you, Arvid.
Arvid Liepe: Thank you very much, Ulrika, and good morning, everyone. Looking at the Q4 income statement. As Ulrika mentioned, rental income during the quarter amounted to SEK 1.111 billion, up 5% and actually a record figure for a single quarter when it comes to rental income. Operating surplus was up 3% to SEK 773 million. And income from property management was actually also a record for a single quarter at SEK 556 million. However, as Ulrika mentioned, that number was affected by a positive revaluation within one of our JVs of SEK 68 million. So the growth of 23% in income from property management, excluding the JV revaluation was plus 8%, which, in my opinion, is also actually quite a good figure. We had positive value changes in the quarter of SEK 444 million and in total, a profit for the period of SEK 850 million. On the next slide, you have the balance sheet as of year-end 2025. Property value of SEK 64.4 billion, up SEK 5.2 billion versus 12 months previously. Equity stood at SEK 24.3 billion, up SEK 1.2 billion versus the year previously, despite paying almost SEK 1 billion in dividend during 2025. And borrowings increased by SEK 3.2 billion to SEK 33.2 billion in total. Looking at some key figures relating to the balance sheet and the P&L. The equity assets ratio stands at 36.9%, slightly down versus the previous year, and the LTV stands at 51.6%. I think you should bear in mind, though, looking at those 2 numbers that during 2025, we invested more than we have ever done in projects, SEK 2.7 billion. And we also actually concluded the largest single acquisition that we've ever done with a property value of SEK 2.4 billion. That is, of course, a way for us to continue to build for growth. And bearing that in mind, we are quite comfortable with those financial metrics. We're also happy to see that the interest cover ratio is now gradually strengthening and stands at a good 2.9x. The EPRA NRV as of year-end is at SEK 99.36 per share, up 10% adjusted for the paid dividend during the year. The historic development of the EPRA NRV, you can see on this slide. And in the long-term perspective, since 2009, the annual average growth in EPRA NRV actually is at 15% adjusted for paid dividends. On the next slide, you can see the long-term development of the financial metrics, equity ratio, LTV as well as interest cover ratio. And as I stated before, in relation to the targets we've set for ourselves, we are at comfortable levels. And particularly, I would like to stress that the interest cover ratio is improving and at 2.9x. That is a good reflection of our ability to generate a good cash flow. On the next slide, the earnings relative to borrowings or net debt to EBITDA now stands at 10.4x. We are comfortable with the ratio. It has gone up slightly during the year, basically due to, as I've stated before, high investments and debt financing of the acquisition made during 2025. On the next slide, you can see the sources of financing, total borrowings of SEK 33.2 billion. Half of it comes from bilateral bank agreements with Nordic banks, 33% from the Danish real mortgage system and 17% from the bond market. Nordic banks are still very much willing to lend and the terms are probably unchanged over the past few months, but access to financing from the banking system, I would say, is good. The bond market is also both active and attractive. We have, over the past few weeks, issued a 3-year bond under our own MTN program at a margin of 98 basis points and a 4-year bond at a margin of 117 basis points. And for us, those are competitive levels. Looking at the structure of our loan portfolio, you can see the details on this slide. The average interest rate stands at 3.25%. That becomes 3.29% if you include costs for unutilized credit facilities. With STIBOR at basically 2.0 and a margin of -- an average margin in our loan portfolio of a touch above 100 basis points, you could see that the loan portfolio is pretty much -- we're paying what the current market rate actually is or pretty close to it. We have an average fixed interest period of 2.7 years and an average loan maturity of 4.7 years in the loan portfolio as of year-end 2025. And on the next slide, you can see the historic development over the past 5 years of the fixed interest period and the loan maturity and there are no dramatic changes in the development of those numbers over the past few quarters. Lastly, on the number crunching slides, we can look at available funds, that is unutilized credit facilities plus liquid funds as of year-end, which stands at SEK 3.2 billion. And that gives us a good flexibility to seize potential opportunities in the market. And you can also put into perspective, the SEK 3.2 billion is that we have bond maturities in Q1 of approximately SEK 1.2 billion, but we've also issued bonds amounting to approximately SEK 1 billion since year-end. So with that, I'll hand the word back to you, Ulrika.
Ulrika Hallengren: Thank you. And I'll give you an update on our investments in progress and a quick overview of our largest project. During '25, we have invested SEK 2.738 billion. It's still a record, and it remains SEK 2.144 billion to invest in approved projects, highest investment level ever in our history, and this makes us prepared for coming years. A reasonable yield on cost with 6% or a bit over 6% for new build offices and 7% or a bit above that for industrial and a good mix of refurbishment and new build in the portfolio. In Copenhagen, we are about to complete our project at Ejby Industrivej 41 for Per Aarsleff. In the beginning, we planned this project for a multi-tenant transformation, but with a 15-year lease with Per Aarsleff, it has been turned into a single-tenant building. 24,000 square meters, investment SEK 231 million and a yield on cost a bit above 6%. Completion now in Q1 '26. The large project of Amphitrite 1 in Malmo, for Malmo University is running well in accordance with plan. A bit above 20,000 square meters for Malmo University in a 10-year lease, investment SEK 1.130 billion and completion is planned to late Q4 '27. In Malmo, in Hyllie, we continue with Blackhornet 1 VISTA. SEK 884 million investment, the mobility hub has already been completed since a year ago, and the offices will be completed from now and during 2026. Yield on cost, 6.2% and approximately 40% pre-let. The attractiveness of the product shows clearly now when tenants are starting to move in, and we work hard at the coming leases. From 1st of January, the total areas in the building are included in Malmo offices as classified as projects since the areas are not ready for moving in yet. Still too much raw concrete, but completion is ongoing. Last Friday, we opened Borshuset 1 in Malmo after a large refurbishment. It's an almost iconic building right beside the train station, 6,000 square meters offices, restaurant and co-working and top rents in the Malmo perspective. Completion now in Q1 '26 and moving in will continue during '26. Pre-let, 95%. At Kranen 7 in Malmo, we will invest approximately SEK 136 million in a preschool for the municipality, 2,900 square meters zoning plan approved and completion is expected to Q3 '27. Public procurement acts for the contractor is ongoing. And at Skrovet 6 in Malmo, we refurbished 11,000 square meters, 50% pre-let to Cloetta and Media Evolution with completion start in Q3 '26. So a quick refurbishment. Investment, SEK 149 million for a total technical shift in the building and a quick change from the quite closed building, which was the result from the SAAB, the former tenant, and now open up to be a new entrant to the whole Dockan area. In Lund, we are building a new modern office right beside the Central Station, Posthornet 1, phase 2. 10,100 square meters, yield on cost, 6.5% and completion starts in Q2 '26. Pre-let, 70%, a very successful project. In the southern part of Lund, we continue the development of Tomaten. This project is for BPC, completion in Q2 '26 and investment SEK 79 million, 3,600 square meters and the yield on cost 7%. And next to that, at former Stora Raby 32:22, now named as Surkalen 1. We have been able to improve since the project started. Tenants will be both Note and Lund University. So well-used land area and long leases in total. 14,500 square meters completion in Q2 and Q4 '26. investment SEK 260 million and yield on cost 9.2%. In Horsholm, Copenhagen, we have invested for a new school for NGG. 25 years lease, 11,600 square meters and investment SEK 390 million. Completion now in January. And at Girostroget in Hoje Taastrup, refurbishment for Novo continues. 62,000 square meters, our investment is limited to SEK 423 million and completion is expected now in Q1 '26, but Novo pays rent also during refurbishment period. That was some of the ongoing projects and just a touch of possible future projects. There are 4 possible projects in the Nyhamnen area in Malmo. We own the land for Kranen 15, Slagthuset and Polstjarnan 1 and 2. Zoning plan are ongoing, and we actually see some progress. And some more possibilities in Malmo, both the industrial at Spannbucklan, for example, housing at Kranen 5 and offices at Naboland, zoning plan approved for Spannbucklan and Naboland. In Lund, we continue the work in southern part at Hasslanda, where we bought Brysselkalen '25 -- we bought it 2025 from Granitor, approximately 50,000 square meters gross floor area. And at the Ideon area, we can continue with projects both at Ideontorget and Delta 2, and we also have more building rights at the eastern side of the highway. At Vasterbro in the western part of Lund, it will be mostly housing and one way for us is to use these building rights as a trade for other possibilities. And in Helsingborg, we can add on areas for offices at Polisen and several industrial and logistic possibilities, both as fill-in and stand-alone projects for us to be ready for different kind of times and tenants, and I think we have very good opportunities. So let's summarize Q4 once again, rental income up 5% income from property management, plus 23% and excluding revaluation from joint venture, plus 8%. Net letting positive at SEK 12 million, net debt to EBITDA at 10.4x. So we see continuously good access to financing, and the Board proposes a dividend of SEK 3.30 per share. And it goes without saying, we will continue with our focus on cash earnings and our future growth. With that, we are open for questions.
Operator: [Operator Instructions] The next question comes from Erik Granstrom from DNB Carnegie.
Erik Granström: I had a few questions following the report. I'm wondering if you could perhaps talk a little bit about your outlook for the rental market in 2026, how it's started so far? And where do you see vacancy rates moving, given what you know in terms of project completions and so on?
Ulrika Hallengren: Erik, I think the year started quite slow. January was not too exciting. But after that, things have started moving on and good discussions are ongoing. And we have quite strong rental income growth from already signed leases coming in during 2026. So I think there's many -- quite many positive signals ahead, but it took some weeks in the early year before things started to move along. As said many times before, high quality is in very -- in everybody's focus, and we have that in our portfolio. So confident about the future. But a little help from economic growth, of course, looking forward to see that. Would you continue?
Arvid Liepe: No, I just want to comment also on that tenants are willing to pay for quality and location. And it is not a new trend in this quarter. We've seen it over the past few years. But we continue to see that there is a willingness to pay for good location and good quality in the premises. And you can see that also in that the top market rents in our markets are increasing, not dramatically, but a little bit.
Erik Granström: Okay. And given the project completions that you have now in the first half of '26, do you think that those will improve the overall vacancy or vice versa? I'm thinking about the fact that Blackhornet will be completed in Q2 and carries a little bit higher vacancy than the rest of the project portfolio to be completed.
Ulrika Hallengren: Yes. So from now, from this report, Blackhornet is -- the areas are included in the project volume. So they are completed into a very raw standard. So that can, of course, affect the figures, but the rental income will continue to increase. And you never know what happens ahead. I mean it's -- our main focus is to have a good growth in the cash flow. And of course, I'm very happy of how we have been able to be quick on the changes for Skrovet 6, for example. We will have 10 months of vacant 100%. But after that, we have signed leases and they move in from 50%. So 10 months for total refurbishment, and we have done this kind of quite quick shift in quite high volumes in the last years. So that is a good thing. And I also think that Blackhornet now when they're moving in have started, and you can see the quality in the areas. That will continue to help the new leases come in place in that area as well.
Arvid Liepe: But I think -- if I may add something. Looking at occupancy, Q4 versus Q3, it was down by, I think it was 0.2%. So if we go into decimals, so a slight decrease, but nothing dramatic. Given our projects being completed and given the rental agreements that we've signed, it's fair to assume that, that would have a positive effect on occupancy during the coming few quarters. On the negative side, you have when Blackhornet is completed, that is -- there's still too high vacancy for our liking in that property, of course. But -- and exactly the timing of those effects over the coming couple of few quarters is a bit tricky to say. But I think the net effect should not be significant, but we see a potential for a slight improvement in the occupancy rate.
Erik Granström: Okay. And then perhaps switching over to investment opportunities for 2026. You mentioned, and we can see that in the numbers, SEK 2.7 billion invested in projects and the portfolio. What's your outlook for 2026? Because if I look at what's left to be invested in your project portfolio, it stands at around SEK 2 billion now, and it was about SEK 3 billion a year ago. So I was just wondering how you view the pace in terms of investments and the amount for 2026, if you can give us some color on what you're planning?
Ulrika Hallengren: 2026 will not be a new record year, is my estimate, but we will continue with a good pace also during '26. I can't give an exact figure, but around -- not as high as 2025. But of course, we are always looking for new investment possibilities. And exactly when the timing is right for that. We have the portfolio, so that's good. I think we have good preparation, both for offices and industrial, not at least. Lund is very interesting. Maybe we will see something more in Landskrona adding on to this, and also industrial in Malmo is interesting. So we have things going on for the 2027 as well. But for -- at the moment, the building for Amphitrite for Malmo University will be our largest project, of course. And that will go on until end '27.
Erik Granström: Okay. And then my final question regards the property valuations in Q4 and for the full year, you mentioned that 100% is externally evaluated. Could you say something about what -- in terms of CPI and indexation, what is assumed for 2027? The effect on '26 is already known, but what's now assumed for '27 and on? And also in terms of valuation yields, I do know that you do not report that, but you mentioned some changes. But overall, what -- do you see any major shift in yield requirements in '25 versus '24?
Arvid Liepe: We commented on the slight changes in the valuation yields. And as usual, we will not give exact figures for the full portfolio with the same logic that we've had before that it's one aspect out of many to be judged in combination of many different assumptions. Regarding the CPI assumptions in the valuations for 2027 and onwards, the assumption is 2%. But again, I would like to stress that you cannot look at 1 or even 2 parameters alone in the assumptions in the property valuations. You have to look at all the variables in order to be able to make up your mind if something is reasonable or not. And we are comfortable that our external appraisers are doing a reasonable judgment when it comes to the balance between different parameters in the model.
Operator: The next question comes from Oscar Lindquist from ABG Sundal Collier.
Oscar Lindquist: Yes. So a couple of questions from me. You mentioned on new lettings that you expect some contribution from Q2, Q3 this year. I was wondering on terminations, is there anything you can highlight here? Did you have any larger terminations? And what could we expect in terms of impact in the coming quarters?
Ulrika Hallengren: We have -- I mean the largest termination we had, SAAB, as we have reported on before, that was from now on from 1st of January this year. We have a few terminations that starts, I think, 1st of January '27, but they are quite -- I mean for the total volume, it's SEK 12 million and SEK 12 million, something like that. So not as large as SAAB were. And I mean we also have a year to work with that, especially in the industrial portfolio, we have good potentials to find new solutions for that. So not at any larger expense, I would say.
Oscar Lindquist: Okay. And I also believe that WSP has signed a lease with Vasakronan in Malmo. Has that termination come through in your numbers this quarter? Or is it expected in Q1? Or can you say anything about that?
Ulrika Hallengren: No. We have that message in December. So that is part of report for 2025. And they are one of the tenants that will move.
Arvid Liepe: I believe that contract will be terminated in Q2 or something. So it's not the full -- they will not pay rent for the full year 2026.
Ulrika Hallengren: Okay. So a bit earlier then. I think that is one of the lease.
Oscar Lindquist: Yes. And then you have -- on financials, you have SEK 2 billion in swaps maturing in '26 average rate of 1.53%. You say that -- or you mentioned that you're currently paying around market terms. What sort of effect could we expect from swaps maturing and net of new financing?
Arvid Liepe: Those swaps expiring in 2026, I would expect that we have -- I mean it will have a slight negative effect on the average interest rate for the group. But we actually, of those swaps have examples of swaps being both in the money and out of the money. So the effect, it's not that all those swaps are on extremely attractive levels. But it will have a slight negative effect on the average interest rate. And at the same time, we still have both bonds and we have bank agreements where the margin we're paying is slightly above where the market is currently. So I don't expect the net effect on the group's average interest cost -- the effect will not be very large.
Operator: The next question comes from Lars Norrby from SEB.
Lars Norrby: Talking about expansion and record CapEx in '25. And as far as I understand it, you're not expecting the same kind of level in '26, not fully SEK 2.7 billion. Now how about acquisitions? I think you did some net SEK 2.5 billion in '25. In '26, can you handle the same kind of volume with your existing balance sheet if something comes up? And are you looking at something of any size at the moment?
Arvid Liepe: If I start with the financial capacity, I think that, as I mentioned, our access to liquidity, we feel is good, and we're comfortable with the financial metrics of the LTV, the equity ratio, the net debt to EBITDA that we have. As stated before, if an attractive acquisition opportunity of -- well, significantly large would come up, we have the tool or the mandate from the AGM to issue equity. We have never used that tool, and we've had it over all the years. But it is a tool in the toolbox for -- if the right opportunity would come up.
Ulrika Hallengren: And without giving any prognosis about what will happen, as said many times before, we look into all kind of possibilities, both small, which add on things piece by piece, but of course, also possibilities with larger portfolios. But it's really important that we think that we can add on some value to that. It has to be -- I mean I think it's good for us that we are a bit picky when we choose things. It should both be the right quality or possibilities and the right price, of course. But of course, we see possibilities. I mean Copenhagen continues to be interesting. And also on the Swedish side, there is possibilities. But you can never say ahead.
Lars Norrby: If you're looking at Copenhagen, what type of properties and what kind of yield level are you looking at? Is it similar to what you have in the portfolio right now, meaning higher yields than in Central Copenhagen?
Ulrika Hallengren: Yes. We don't want to go too low on the earnings. Of course, they are important for us. But we think there is some possibilities in a bit of a better location than we are today so that we can transform a bit, but still get a decent yield for us. So that is mostly the kind of things that might be of interest for us.
Lars Norrby: Just to wrap it up from my side, for example, if Castellum would be willing to sell some of their properties in more central locations, you wouldn't be looking at them. Is that correct?
Ulrika Hallengren: I don't think we will be the one that are prepared to pay the price that they are expecting.
Operator: The next question comes from John Vuong from Van Lanschot Kempen.
John Vuong: You mentioned something about rental income growth for signed leases. Are you referring to capital reversion? And if so, what reversion potential are you seeing in your portfolio?
Arvid Liepe: I think if you talk about -- I mean reversion potential, generally speaking, as has basically been the case over many years, the rents that we have in our rental contracts today are fairly close to where the market rents are. And our markets have rarely, if ever, seen any huge reversion potential that is being able to sign or to renegotiate rents at completely different levels.
Ulrika Hallengren: But when I mentioned higher rental income, I was pointing at leases that we have signed, but where tenants haven't moved in yet, but they will move in during the year. So that will give some extra income, of course.
John Vuong: Okay. That's clear. And then just looking at your Malmo office portfolio, screens that the vacancy has increased by 80 bps over the quarter. Is this an issue of timing given that letting? Or have new leases been skewed to other regions?
Arvid Liepe: I would say that looking at Malmo offices in the quarter, I mean that has, of course, been affected by SAAB moving out as of this past year-end. So there you would have -- and that was actually 4 leases out of 3 were terminated, if I remember correctly. And that was actually a significant chunk. So the Malmo office occupancy effect would mainly be driven by SAAB in this quarterly report.
Ulrika Hallengren: And we have also added on areas from Borshuset. So Borshuset is completed, but the tenants haven't moved in yet. They will continue to move in until August. So that is vacant in the economic terms at the moment, that the tenants are eager to move in.
John Vuong: Okay. And then on the leases, what's the percentage point impact on your occupancy? And maybe just looking at the number overall, is it skewed to any specific submarket within Malmo or say, building age?
Arvid Liepe: No. I mean nothing different from what we tried to communicate earlier that there's still a good demand for good quality, good location. Predominantly, our office portfolio is good quality, good location with only a few exceptions. So there's no real change in that picture, I would say.
Ulrika Hallengren: And the decision from SAAB to move to Lund, to a new premises there, was they wanted to combine both all the offices area and their development area, which also is a part of industrial classification in that. And Lund municipality could arrange that kind of area where they were allowed to have both engineers and also this experimental industrial things going on at the same place. And so that was the reason why they moved to Lund, and we have seen very good effects from that in the Lund areas affecting all the things we own at the Lund area, not at least. So for the region, that decision from SAAB has been a boost, I think, actually. And I'm also very satisfied with the solution that we have found with Skrovet 6, where SAAB had their largest leases before. So we have new tenants there from starting with 1st of September and adding on also from 1st of October with a totally refurbished property. So I think that solution will also be good for the Dockan area in Malmo. But of course, the timing for that, it gives us some vacancy at the moment.
Operator: The next question comes from Eleanor Frew from Barclays.
Eleanor Frew: A couple of questions. One is probably a slight follow-up. Can you calculate the net letting excluding leases on new developments or just including the completed stock? And can you give some color on how you see that trending if so?
Arvid Liepe: I'll have to check that number because I don't have that number off the top of my head, the net letting excluding projects.
Ulrika Hallengren: We have mentioned it before, but not the full year figure. But we have been positive in the net letting for the existing portfolio before. But let's check upon that because -- and I don't see if we had some new leases in new areas in Q4, but I -- let's come back to that.
Eleanor Frew: Great. And then is there a reason sort of high vacancy on Blackhornet? It stands out a bit given the pre-letting and your other projects? Or more broadly, how is the momentum going in the pre-letting discussions?
Ulrika Hallengren: Good discussions, high interest, but not in the pace that we are aiming for. So good -- I mean it's the best product you can find, but the decisiveness must be there from our tenants. I think what we see in a bit of a cautious market is when you have a high volume with very good quality, you don't need to take the decision now, you can wait because there's more to choose. It's not this level, so you can choose another level. So we don't really see the tempo in that yet. But patience is something you need.
Arvid Liepe: Getting back to net lettings, excluding new developments. In Q4, it was still positive, also excluding leases and new developments. It will take a bit more time to look at the full year, but Q4 was still positive.
Operator: The next question comes from James Cattell from Green Street.
James Cattell: Just had a question on the new EPRA CapEx table on Page 25. Thank you for including that. I noticed TIs increased from SEK 499 million to SEK 802 million. Was this just a temporary increase due to a difficult letting market? Or do you expect this to be the run rate going forward?
Arvid Liepe: Could you please repeat which figure you're relating to? It was Page 25, right?
James Cattell: Can you hear me?
Arvid Liepe: Yes, yes.
James Cattell: I have some difficulties in my line. Can you hear my question?
Arvid Liepe: Well, you referred to a number on Page 25 in the report, and I was just uncertain which number. So if you could repeat that and we'll see if we can answer.
James Cattell: On the EPRA CapEx table, the number for tenant incentives, it increased from SEK 499 million to SEK 802 million. Yes. I was just wondering is this increase due to the difficult letting market? Or is this what the rate you expect to be going forward?
Arvid Liepe: To be frank, it's actually the first time that we have calculated this number according to the EPRA definition of capital expenditure. And we've spent some time together with the EPRA team defining these different -- well, the sums, meaning that I'm actually a bit uncertain when it comes to how to project how the different parts of the sum will develop over time. So I'm not quite sure that I, off the top of my head can answer your question about how that will develop going forward.
James Cattell: Okay. And do you have any idea of the split between rent-free and capital contributions on that?
Arvid Liepe: I mean generally, you could say that our market is characterized by few tenant incentives and few and short rent-free periods. So I mean we basically come from a market where tenant incentives have been very, very marginal. And so we don't expect that to develop in any dramatic way.
James Cattell: Okay. And do you have any guidance on what caused the increase in the joint venture property values in the fourth quarter?
Arvid Liepe: Well, I mean property valuations are what they are and always very tricky to predict. We would not expect that, that type of property valuation -- property revaluations in our joint ventures will come on a regular basis, but property valuations are hard to predict.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any written questions and closing comments.
Ulrika Hallengren: Thank you. So let's see. Do we have any written questions?
Arvid Liepe: We have received no e-mail -- questions via e-mail as I can find.
Ulrika Hallengren: Okay. But you're always welcome with further questions any time. So by that, thank you for today, and have a nice day.
Arvid Liepe: Thank you very much.